Operator: Hello and welcome to BD's Third Fiscal Quarter 2020 Earnings Call. At the request of BD, today's conference is being recorded. It will be available for replay through August 13th, 2020 on the Investors at bd.com website or by phone at (800) 585-8367 for domestic calls and area code (404) 537-3406 for international calls using confirmation number 3197917. [Operator Instructions] Beginning today's call is Ms. Monique Dolecki Senior, Vice President of Investor Relations. Ms. Dolecki you may begin. 
Monique Dolecki: Thank you, Stephanie. Good morning everyone and thank you for joining us to review our third quarter results. We hope that everyone continues to be healthy and safe. With safety in mind, we are again taking a more virtual approach to our call today while also to exercising social distancing. Joining me in person we have Tom Polen, our Chief Executive Officer and President; and Chris Reidy, Executive Vice President and Chief Financial Officer and Chief Administrative Officer. Joining by phone we have Alberto Mas, Executive Vice President and President of the Medical segment; Simon Campion, Executive Vice President and President of the Interventional segment; and Patrick Kaltenbach, Executive Vice President and President of the Life Sciences segment. As we referenced in our press release, we are presenting a set of slides to accompany our remarks on this call. The presentation is posted on the Investor Relations page of our website at bd.com. During today's call, we will make forward-looking statements and it is possible that actual results could differ from our expectations. Factors that could cause such differences appear in our third fiscal quarter press release and in the MD&A sections of our recent SEC filings. In particular there continues to be significant uncertainty about the duration and contemplated impacts of the COVID-19 pandemic. The commentary that we are providing today includes information regarding the July trends we are seeing in our businesses. We have made certain assumptions in how we are managing our business but that could change as we move forward. We will also discuss some non-GAAP financial measures with respect to our performance. Reconciliations to GAAP measures that include the details of the purchase accounting and other adjustments can be found in our press release and its related financial schedules and in the appendix of the Investor Relations slides. A copy of the release including the financial schedules is posted on the bd.com website. It is now my pleasure to turn the call over to Tom.
Tom Polen: Okay. Thank you, Monique and good morning everyone. I hope you and your families are doing well and staying healthy. If I had to summarize Q3 in two words, it would be execution and impact. I'm very proud of our team for the performance they delivered in the third quarter given the challenging environment. What stands out to me the most is the progress the BD team made executing and delivering on both our short and long-term agenda creating value for patients, customers, and shareholders. We launched the COVID-19 assay on Veritor, secured injection device orders for future vaccination campaigns, and scaled manufacturing to ensure continued supply of critical medical technologies across the continuum of care. We announced several U.S. government collaborations to expand U.S. capacity in critical to COVID product areas. We worked closely with our customers as they resumed medical procedures throughout the quarter. And we saw those procedures continue to increase as we exited the quarter. At the same time, the team never lost sight of the long-term advancing our growth strategy, driving our innovation pipeline, and executing on our cost savings and simplification initiatives. I'm confident the steps we're taking now will help BD emerge from the pandemic strong and put us in the best position for the long-term. Let's jump into the quarter on slide four. Our third quarter results reflect the impact of COVID-19 on healthcare around the world as we saw strong demand for COVID-19 related diagnostics and significant pressure on the parts of our portfolio that support elective procedures research routine care and lab testing. We anticipated we'd see the biggest negative impact from COVID-19 in Q3 and it's largely played out that way. All-in COVID-19 had a net negative topline impact of $600 million in Q3. Chris is going to provide more detail on performance during the quarter and our perspectives on recovery. But let me share a high level summary of what we're seeing starting with Interventional. Across the Interventional segment, we saw sequential improvement each month during the quarter as hospitals and patients started to resume elective and non-urgent procedures. In June, China delivered positive year-on-year growth in all three BDI businesses. We continue to watch China closely since they're further along in their post-COVID restart. We exited Q3 seeing BDI procedure volumes at approximately 80% of pre-COVID levels. Moving on to the Medical segment, we're really pleased with the continued strength in our Pharmaceutical Systems business which is growing high single digits on a year-to-date basis. We view both the pharma systems business and Diabetes Care businesses as more insulated and less impacted by COVID-19. As you know the rest of the segment's portfolio is closely tied to overall healthcare consumption, so naturally the impact of lower hospital utilization was very pronounced across the medical device consumables portfolio even more so than we had initially anticipated. That said we're encouraged that we saw demand for medical device consumables improve in June. Lastly, early demand for infusion pumps under medical necessity did spike in April as expected and then tapered down throughout the quarter. Now, looking closer at Life Sciences, as expected, we saw very strong demand for COVID-19 diagnostic tests and supplies during the quarter which was offset by a deferral of routine lab work as well as delays in capital investments on both the research and the diagnostic side. In Q4, we expect continued strong demand for our COVID-19 diagnostics solutions with the addition of the Veritor assay to the portfolio. In addition we did see reagent orders begin to pick up in June for both research and clinical applications which demonstrates that researchers continue to get back into the labs. While this remains a dynamic situation we're providing revenue and EPS guidance for Q4 and the total year as we have improved near-term visibility. Based on what we know today we believe our guidance range reflects the trends we saw in June and July and accounts for our expectations as we close out the year and Chris will go into more detail later on the call. Despite the challenging environments it's clear that BD's durable capabilities and critical health care portfolio have been and will continue to be a vital part of the COVID-19 solution. And I'm confident that the actions we've been taking position BD increasingly well to support our customers through the pandemic and return to growth as the global economy and health care industry continue to stabilize and recover. Turning to slide five, on our last call, we discussed how the strength and diversity of BD's portfolio enables us to support the world's response to COVID-19 across the full continuum of care. The BD team made significant progress executing this agenda during the quarter positioning us well to finish the year with momentum. So, let me share a few highlights with you starting on slide six. First, today marks one month since we launched the SARS-COVID-2 antigen assay for the Veritor Plus system, which received FDA, EUA in early July. We believe this platform is a real game changer, dramatically expanding access to COVID-19 testing at the point of care and reliably diagnosing SARS-COVID-2 in 15 minutes. In the first month since launch we received very strong demand for both the Veritor Plus system and the SARS-COVID-2 assay including from our traditional customers as well as nontraditional accounts. In our first month of launch we've shipped more Veritor Readers than we normally do in an entire year. This is a strong indicator of the unprecedented interest and demand for near real-time point-of-care COVID testing. As one example we're proud to partner with the U.S. Department of Health and Human Services on their efforts to expand access to rapid point-of-care testing in nursing homes through their initial order of 2,000 Veritor Plus systems and 750,000 SARS-COVID-2 antigen test kits. To support the very strong demand we're seeing we are leveraging our world-class manufacturing scale and expertise to significantly increase supply capacity. And we're feeling good about both our original goal of producing 10 million tests in Q4 and our scale-up to our initial eight million tests per month run rate by the end of the fiscal year. In addition, last week we announced a $24 million investment from the U.S. Department of Defense in collaboration with HHS to support the additional scale-up of U.S. manufacturing, which is expected to bring global production of the Veritor assay to 12 million tests per month at the end of February 2021. We're putting the full capabilities of BD behind this including not just those in our Life Sciences segment, but we're pulling in talent from both BD Medical and Interventional to support the scale-up. Detecting and containing coronavirus globally will take a collaborative industry-wide response. And we're proud to partner with AdvaMed on the national diagnostic supply registry to help ensure widespread availability of testing. The Veritor assay joins a portfolio of three molecular solutions for our COVID-19 testing that BD has already delivered for use with the BD MAX molecular system that includes two with EUAs and two with CE Mark. We're now producing one million COVID-19 rapid molecular diagnostic tests each month for use on BD MAX. And as I've shared we're investing in further expanding BD MAX capacity so we can produce an additional 900,000 tests per month. The installation of these additional production lines is well underway and remains on track to be at our new 1.9 million BD MAX tests per month run rate by the end of the calendar year. Cumulatively we've produced more than 3.5 million rapid molecular tests for BD MAX. In addition to investing to expand capacity, we're also investing to expand our portfolio. Our R&D teams are actively advancing our work to develop flu plus COVID assays for both our Veritor and MAX platforms, so we can better support health care providers and patients. I'm very proud of the entire BD team for driving scale and impact through our COVID-19 diagnostics solutions. If we move on to slide 7. To date, we've now received orders for 470 million needles and syringes from the U.S., Canada and the U.K. and other entities in anticipation of vaccine programs we expect late this year or early 2021. These orders represent a mix of safety and conventional device types. While we anticipate initial shipments to the U.K. in fiscal year 2020, the majority of these orders will be delivered in fiscal year 2021. In addition, we formed a strategic public-private, partnership with the Biomedical Advanced Research and Development Authority known as BARDA. BARDA will invest an estimated $42 million into a $70 million capital project to expand U.S. manufacturing capacity for injection devices. The new capacity is expected to be online within 12 months. And once completed BARDA will have priority access to injection devices from these new manufacturing lines to support mass vaccination campaigns for COVID-19 and future potential pandemics. As the world's largest manufacturer of syringes and needles, we are focused on fulfilling routine customer demand such as for annual flu vaccination, programs while also ensuring we can support surge demand for pandemic response. We are continuing active discussions with governments around the world about the need to place injection device orders quickly to ensure timely delivery for 2021. As expected I also want to provide an update on Alaris. We are working diligently and with urgency to prepare the 510(k) filing. Our focus is on ensuring a comprehensive submission that will ultimately help enable timely FDA review and clearance. We expect to submit the updated 510(k) in late fiscal Q2 or early fiscal Q3 2021 based on ongoing dialogue with the FDA. We recognize there's a focus on the time line for the 510(k) submission and that's important. But taking a step back, we feel really good about the overall collaborative process we are engaging in with the FDA. In our pre-submission conversations, the focus has been on having a complete and robust submission and we have been spending additional time on aligning the testing protocols upfront, which is time and effort well spent. We believe the more work we do upfront to ensure the most robust submission, the better we are enabling a timely review and clearance process. As expected, our team has completed quite a bit of the testing and other work required for the submission. And we have a much better visibility to our submission timing now than we did when we last updated in May. When it comes to human factor testing, we've completed 100% of our formative testing which is a significant milestone involving 12 different human factor tests in the middle of the pandemic. We are pleased with the data and outcomes. We have also completed a substantial software system verification. Completion of formative human factor testing and software verification retires significant risk to the submission. We are taking a bit longer to ensure full alignment with the FDA on the final phase of human factor testing which is referred to as a summative testing. And again we feel this investment in time now best serves us in meeting our ultimate goal of a timely 510(k) clearance. We have submitted our summative testing protocols to the FDA and expect feedback shortly. Concurrently we are continuing to recruit clinicians for the next phase of human factor testing. And once we have that feedback from the FDA, we will be able to complete the summative testing. In addition, in our ongoing feedback discussions with the FDA, we made the decision to include an update to our specialty EtCO2 module which is important for clinical care and especially COVID response. The EtCO2 module is used to help monitor patients on ventilators, while medication is being administered. We believe this is the right decision for the Alaris system over the long term the patients we serve and far outweighs the additional time line of a few weeks it takes to include it again providing the most comprehensive submission to the FDA to help enable a timely review and clearance. I can't emphasize enough, how seriously we take this matter. As with any project of this magnitude and complexity, there are always obstacles along the way. But we're confident that we have the right resources, the right plan and the right team in place. We'll continue to address any issues that may arise in a way that ensures the most comprehensive submission to achieve our ultimate goal of a timely clearance. This dedicated team is executing well. And we will keep you updated as we make further progress on key milestones. Moving on to slide 8, and our innovation agenda. Each of our segments are focused on driving consistent durable growth for the long-term. They are doing this through innovation in areas where we are our strongest, where we see disproportionate new growth opportunities and that are aligned with emerging health care and technology trends. During the quarter we launched four new products and we remain on track to deliver our robust innovation pipeline for the year as shown on this slide. Taking a closer look in BD Life Sciences. Let me call out a few milestones in our Biosciences business. This quarter we launched an upgrade to the BD FACSMelody to expand from two-way sorting to four-way sorting, enabling customers to capture more cell types. This capability is available as an upgrade to our existing installed base and helps to further strengthen our position in the fast growing entry level sorter market. During the quarter we also launched software version 1.1 for FACSDuet. This software enables the automated preparation of antibody reagent cocktails, which is traditionally a manual time consuming and error prone step in clinical flow cytometry workflows. This release enables our team to continue driving the successful launch of the FACSDuet base model, as well as extend into the larger leukemia lymphoma and mixed lab markets. In BD Medical, we continue to see good traction with BD PhaSeal Optima, a next-gen closed system drug transfer device we launched late in FY 2019. Our customers are increasingly choosing Optima to protect health care workers handling hazardous drugs, because of the product's safety, ease of use and demonstrated performance as the device minimizes residual drug loss in vials compared to other similar systems. Sales of Optima have grown sequentially throughout FY 2020 despite the challenging pandemic period and the launches helped drive high single-digit growth across our CSTD platform. I also want to comment on our pharm systems business, which is a great example of the diversity of BD's portfolio and how it's a real strength and strategic advantage. Pharm systems continues to perform very well, growing high single digits on a year-to-date basis. We continue to be positive about the outlook for this business. In addition to favorable market trends enabling strong growth in the prefilled syringes platform, we've also been investing in advancing our self-injection systems to meet the needs of our pharmaceutical customers. And lastly in BD Interventional, we recently received FDA clearance for our next-generation targeted temperature management system. The AS Stat Temperature Management System offers a way to noninvasively control temperature within a narrow range for all appropriate patients. We have now leveraged and integrated BD's capabilities around EMR integration and data analytics into the AS Stat system, which also incorporates advanced algorithms and capabilities to enhance the patient and the physician experience. In our Peripheral Intervention business, which is a global market leader in biopsy and implantable ports, we recently launched our first interventional oncology product Caterpillar. This novel technology is used for embolization of the arteries serving tumors. While commercializing new products during the pandemic has been challenging, the device has been used in more than 50 interventions to date with excellent feedback on its deliverability, visibility, under angiography and ability to cause rapid and sustained embolization of the artery. While still early, we believe the positive response from customers is a good indicator of the growth opportunity ahead. Before I pass it over to Chris, I want to briefly comment on slide 9 and the other drivers of our long-term growth strategy simplify and empower. As we discussed last quarter, we've been extremely focused on cash and expense management throughout this pandemic period. And this discipline was reflected in our SSG&A this quarter. In addition to helping to strengthen our bottom line, these efforts ensured we flow investments to the most significant opportunities. In addition, Project Recode remains on track. As you'll recall Project Recode is our comprehensive internal simplification initiative that we expect to deliver approximately $300 million in savings over the next four years. We're focused on operating the business with discipline including how we can best deploy resources to maximize our impact. And lastly in empower, in July, we released our FY 2019 sustainability report, sharing our latest progress against our 2020 sustainability goals and reinforcing that ESG remains a fundamental element of our strategy. We look forward to announcing our 2030 impact goals later this year. And as always you can find our quarterly sustainability updates in the appendix of today's presentation. All-in, I'm proud of the progress that our team is making. With the successful launch of Veritor and significant injection device orders from multiple governments, we are clearly delivering on our short-term COVID-19 response plan. We're making the necessary investments and are working as quickly as possible to fully resolve the Alaris matters to ensure the completeness of this complex system to aid the FDA's review and clearance. At the same time, we continue to execute against our strategy for long-term value creation. While we continue to navigate a challenging environment, I'm confident the steps we're taking now will put BD in the best position for the long term. With that, let me turn the call over to Chris.
Chris Reidy: Thanks, Tom, and good morning, everyone. I'd like to begin with some comments regarding BD's ongoing response to the COVID pandemic. First, I'm very proud of our organization as we have continued to adapt to the rapidly changing environment and evolving needs of our customers and associates. We have responded with both strength and agility to ensure the continued safety and well-being of our BD associates and to also best serve our customers and their patients as they battle the pandemic. Second, we continue to see strong demand for our COVID related solutions. This includes diagnostic test on our BD MAX platform where we are continuing to increase capacity to meet demand. We are also actively ramping our efforts around the recently launched rapid antigen test on BD Veritor point-of-care system. And we continue to grow our pipeline of orders for syringes and needles to support future global vaccination campaigns. Third, as we continue to adapt and meet our customer needs, we also remain focused on the execution of our long-term strategy, which positions us well for the future. In addition to the COVID related solutions, we launched four additional products in the quarter and we remain on track to execute against our new product pipeline for fiscal year 2020. We are also continuing our work on Project Recode as part of our plans to simplify BD, which will help drive future operating margin expansion. We are confident that BD will emerge from this global health crisis from a position of strength and will continue to create and deliver value to all stakeholders. With that context, let's move on to our results for the third quarter including a review of the COVID impacts. As Tom discussed our third quarter performance reflects the impact of the global COVID-19 pandemic. Revenues declined 9.4% on a currency neutral basis. This was driven by approximately $600 million in net COVID headwinds, which impacted growth in the quarter by approximately 1400 basis points. As we shared previously, we saw significant impacts to our results in April and May. We were pleased that the sequential improvement we saw from May to June across our businesses continued into July with Q3 being the trough in terms of negative impact of COVID to our businesses. I'll discuss more regarding the trends across our businesses later in my presentation. Third quarter operating margins were 20.1%. This reflects the impact of high decremental margins on lost revenues due to COVID-19 as well as COVID-related investments. Adjusted EPS was $2.20, which represents a decline of 28.6% year-over-year or 25% on a currency-neutral basis. Following our $3 billion equity issuance in May, we retired both the $1.9 billion term loan and the $695 million we had outstanding on the revolver. Our liquidity position remains strong with $2.9 billion of cash as of June 30. Prior to the equity offering, we plan to pay down approximately $1 billion in debt in fiscal 2020 and we remain on track to do that. Combined with the revolver pay down in May, we will have paid down a combined $1.7 billion by the end of fiscal 2020. Moving forward, we believe it's more meaningful to talk about our leverage on a net basis with leverage being 3.1 times net of cash as of June 30. Moving to Slide 13. Before I discuss our revenue performance by segment, I'd like to provide some color on the COVID impact in the third quarter. As we expected, continued adherence to COVID-related stay-at-home measures resulted in a decline in elective procedures and lower hospital admissions and procedure volumes as well as fewer routine lab tests and related specimen collections. In addition, we saw reduced demand from research labs due to closures. There are also some delays in capital instrument installations as facilities and staff were not easily accessible due to COVID. During our third fiscal quarter, these headwinds resulted in a gross impact of approximately $800 million to revenues. In terms of recovery, we are pleased to see sequential monthly improvement from May to June across our businesses and in some cases like elective procedures, we saw sequential improvement throughout the quarter. Gross headwinds in the quarter were partially offset by approximately $200 million in COVID-related tailwinds. This was driven by strong demand for COVID-19 diagnostic testing and infusion pumps. As we anticipated demand for Alaris infusion pumps under medical necessity was significantly higher in the month of April compared to May and June. Now turning to slide 14 in the medical segment. BD Medical revenues declined 6% in the third quarter, including a net headwind from COVID of approximately 600 basis points. In the Medication Delivery Solutions unit, our performance reflects the impacts of declines in hospital admissions due to COVID, which resulted in fewer procedures. The majority of our MDS portfolio catheters flush and the like tracked closely to hospital admission trends. If we look at the U.S., as an example, admission rates were down most significantly in April. We saw a sequential improvement over the quarter exiting with admissions at approximately 80% to 85% of pre-COVID admission levels. Lower procedure volumes drove reduced customer demand and resulted in distributors rebalancing inventories in May and June following distributor stocking that took place during March and into April in the U.S. and Europe. MDS performance also reflects distributor inventory reductions and lower volumes related to the ongoing volume-based procurement process in China, which were in line with our expectations. Similar to the U.S. and Europe, we saw an improvement in the impact related to COVID in China as the quarter progressed. Revenues in the Medication Management Solutions unit reflects strong demand for infusion pumps in the U.S. under medical necessity and strong growth outside the U.S. particularly in Europe. Within the quarter the majority of the U.S. medical necessity demand occurred in April as expected. This strength was partially offset by delayed capital installations of dispensing systems due to COVID as anticipated. And similar to our MDS portfolio, lower hospital admissions also impacted sales of infusion sets in MMS. Pharmaceutical Systems performance reflects our continued ability to meet high demand for pre-fillable syringes. Pharm systems third quarter revenues also reflect some timing of customer orders within the year. Year-to-date pharm systems revenues grew a strong 8.1% and we expect continued momentum in the fourth quarter. Third quarter performance in our Diabetes Care business reflects distributor and retailer reductions to inventories as expected after inventory increases that occurred towards the end of the second quarter due to customer stocking related to the COVID pandemic. Now turning to slide 15 and the BD Life Sciences segment. Revenues declined 7.8% in the third quarter, including a net headwind from COVID-19 of approximately 1,700 basis points. In Diagnostic Systems, growth was primarily driven by strong demand for COVID-19 diagnostic testings on the BD MAX platform. This was partially offset by a decline in routine diagnostic testing due to COVID. Results in pre-analytical systems were impacted by fewer specimen collections due to lower routine diagnostic testing. And in the Biosciences units performance reflects slower research and clinical lab activity due to COVID-19 that led to reduced demand for instruments and reagents. Now turning to slide 16 in the BD Interventional segment. Revenues decreased 19.2% in the third quarter, including a net headwind from COVID of approximately 3,000 basis points. Revenues in both the Peripheral Intervention and Surgery units were impacted by the deferral of elective procedures due to COVID. Within Peripheral Intervention, the impact of COVID was most notable within oncology across the U.S., Europe and China, as women delayed mammographies and in our ESKD and PAD platforms in the U.S. and Europe. Sequential improvement was seen during the quarter across all platforms. Revenues in China were flat year-over-year as the declines in oncology were offset by solid performances in End-Stage Kidney Disease and PAD. Within the Surgery unit the impact was primarily related to hernia repair and infection prevention in the U.S. and Europe as well as biosurgery in the U.S. Third quarter performance in Urology and Critical Care reflects the impact of COVID-19 on the acute urology portfolio due to lower hospital admissions. We continue to see solid performance in our targeted temperature management and home care portfolios. As Tom mentioned, China delivered positive growth in the month of June in all three BDI businesses. We are continuing to watch China's recovery closely. For your reference, we have included a slide in the appendix of today's deck that provides our total company third quarter results by geography. I'll now turn to slide 17 and our gross profit and operating margins for the third quarter. Gross profit margin of 51.7% declined 340 basis points on a currency-neutral basis. This reflects the impact of decremental margins of approximately 80% on lost revenues due to COVID headwinds in the quarter. This was driven by the mix of impacted revenues as well as the high fixed cost nature of our business which resulted in unabsorbed manufacturing variances which were expensed in the quarter.  The COVID impact to gross margin also reflects investments, we made in PPE facilities and the like to ensure the health and safety of our associates. The COVID impact was partially offset by gross margin leverage of approximately 50 basis points driven by our ongoing synergy and continuous improvement initiatives. Currency had negative impact of 50 basis points on gross margins in the quarter. Operating margin of 20.1% declined 480 basis points on a currency-neutral basis. This reflects the COVID impact to gross margin as well as additional operating expenses and investments related to COVID. This includes increased shipping cost investment in areas such as IT to support associates working from home, as well as new product development including our BD Veritor rapid diagnostic test. The COVID impact to operating margin was partially offset by operating expense leverage of approximately 70 basis points that reflects our ongoing discipline and initiatives to reduce expenses particularly within G&A. I'll provide more details on that in just a moment. Higher deferred compensation expense due to strong stock market performance in the quarter also negatively impacted operating margin in the third quarter. As a reminder deferred compensation expenses recorded within SSG&A and is entirely offset in the P&L in the other income net line item. Currency had a negative impact of 50 basis points on operating margin in the quarter. As we look forward we continue to expect COVID pressure on gross margins to improve as revenues return. However in the immediate term looking to the fourth quarter we continue to anticipate decremental margins of approximately 80% on related to COVID headwinds. Turning to Slide 18 which recaps the third quarter income statement, as discussed revenues declined 9.4%, this includes a 10 basis point decline and pricing in the quarter which was slightly better than anticipated. Gross margin was 51.7% as I discussed a moment ago. SSG&A as a percentage of revenues was 25.4% including the expenses related to deferred compensation. As a reminder this is fully offset in other income. SSG&A expenses were down 6.7% year-over-year on a currency-neutral basis or 8.9% excluding the impact from deferred compensation. This decrease reflects our ongoing expense discipline and the proactive measures we took to mitigate the impact of COVID. Some of these items include compensation reductions at the management level and suspension of the company's 401(k) match, as well as hiring restrictions. The decrease in SSG&A, also reflects lower T&E expenses as the majority of our associates continue to work virtually. R&D as a percentage of revenues was 6.3% as we continue to invest in innovation to support our COVID response plan and our long-term growth strategy despite COVID-19 pressures. Our third quarter tax rate was 5%. This was driven by discrete items that occurred within the quarter that were contemplated in our prior guidance range. For the full year we continue to expect our tax rate will be between 14% and 16% with a high teens rate in the fourth quarter. Preferred dividends on our BDX B shares that were issued during the quarter were $9 million. Adjusted earnings per share was $2.20 as previously discussed. This includes an FX headwind of $0.11 in the quarter which was more than we anticipated. As expected the expiration of the Gore royalty impacted adjusted EPS growth by about 580 basis points. As a reminder, we will anniversary the expiration of the Gore royalty this month. As we look forward we continue to monitor several macroeconomic factors and the potential impacts to our businesses. First, countries states and even localities are in various stages of the COVID-19 pandemic. As a result there is still great uncertainty regarding future infection levels, recovery rates and resurgence as well as general health care utilization. Second a continued weak macroeconomic environment will likely keep pressure on the overall healthcare system, utilization and consumer spending. Third the pace at which deferred procedures return to normal continues to be one of the biggest variables. This will depend on several factors including disease condition and acuity. COVID-19 testing availability, reopening and resurgence in countries around the world, and state-by-state within the U.S. and patient willingness to seek care. It's difficult to predict how that will all play out over the long term. And finally the timing effectiveness and timeline for potential COVID-19 vaccines around the world and the impact of the vaccine on surveillance testing is all yet to be determined. Looking forward while we are encouraged by the sequential improvement, we expect to continue to see unfavorable impacts from COVID-19 in our Surgery and Peripheral Interventional business due to elective procedures and we cannot anticipate the pace at which those procedures will fully return to normal. Moving on to the acute and non-acute area where our MMS, MDS and UCC businesses participate. We are continuing to monitor hospital admissions and utilization levels for both COVID and non-COVID patient care, as well as care in the non-acute setting. As we have shared previously we do not expect demand for infusion pumps under medical necessity to continue at the same level going forward. In diagnostics, we are continuing to monitor COVID and non-COVID testing volumes globally. As I mentioned earlier we anticipate continued strong demand for our BD MAX diagnostic test for COVID-19. Also as we expected we have seen very strong demand in our rapid point-of-care antigen test on the BD Veritor platform and we are working to scale up manufacturing of both our Veritor Readers and assays. And lastly in our Biosciences business, the pace of recovery will continue to depend on levels of research activity and clinical testing and how quickly they scale up to normal operations and capital spending. Now moving on to Slide 20, before we move on to our guidance for the fourth quarter and fiscal year, I'd like to spend a moment highlighting the trends we saw during the third quarter related to the impact of COVID across our businesses. We shared this slide with you on our May earnings call which at that time depicted our results for April. This slide has been updated to reflect the third quarter COVID impact. When comparing the Q3 slide to the month of April, you'll note several things and I'd like to speak to two of those. First the quarter shows an improvement versus the month of April as the recovery continues to progress. The other trend worth noting is in our MDS business where we saw a larger COVID impact in May versus April. We saw improvement sequentially in June from the May low point. In total the COVID impact to our MDS business was approximately $200 million. On average in the third quarter, our businesses were impacted by approximately 25% to 40% versus our pre-COVID expectations. We exited the quarter with the month of June approximately 20% to 25% below pre-COVID expectations or said another way June had recovered to 75% to 80% of pre-COVID expectations. We were encouraged to see that exiting the third quarter and into July COVID headwinds started to abate and tailwinds started to improve. Note that we saw a sequential improvement in recovery rates in July versus June. Recovery rates across elective procedures, hospital admissions and routine testing range from 80% to 85% versus our pre-COVID expectations in the month of July. We are also seeing strong early demand for our Veritor rapid point-of-care antigen testing and continued demand for COVID-19 test on BD MAX. As expected there was a small amount of demand for infusion pumps under medical necessity as well as continued delays in large capital installations. Turning to slide 22, despite the continued variability and uncertainty due to the pandemic, we are providing a view into our revenue and EPS expectations for the remainder of the year based on what we are seeing today. For the fourth quarter, we expect revenues to be down low-single-digits and adjusted EPS to be between $2.40 and $2.60. As a result, we expect a revenue decline of a negative 2% to a negative 1.5% and EPS of $9.80 to $10 for the full fiscal year 2020. As a reminder, our fourth quarter of fiscal year 2019 was a record quarter with over $730 million in sales in MMS, creating a very tough comparison. All in, we feel good about the remainder of the year based on the latest view of our business and assessment of macroeconomic environment. Before we open the call for questions, I'd like to summarize the key messages from our presentation today. First, we continue to be uniquely positioned to respond to COVID-19 by leveraging our core capabilities across research, diagnosis and patient care. Despite a challenging and dynamic environment, our third quarter results reflect encouraging trends across our businesses in June. We have established a solid guidance range for the fourth quarter and the full fiscal year as we have improved near-term visibility into our expected results. Based on what we know today, COVID-related headwinds appear to be abating and tailwinds are improving driven by high demand for BD Veritor. And lastly, we remain focused on executing on our long-term strategy and continue to deliver value to customers their patients and our shareholders around the world. Thanks, and I'd like to now open the call up for Q&A.
Operator: The floor is now for questions. [Operator Instructions] Our first question comes from the line of Brian Weinstein with William Blair.
Brian Weinstein: Hey, guys.
Tom Polen: Good morning, Brian.
Brian Weinstein: Thanks for taking -- good morning. Thanks for taking the question. No surprise, I'll start out on antigen. Can you give us an idea a little bit more about the demand and where it's coming from. And we saw the HHS deal and we saw the news from the governors' consortium, I guess that was on Monday or Tuesday. But beyond that can you talk more about where you're seeing the demand start to come from? And your thoughts on the size of what that market could be considering between you and the other player there. There's going to be about 30 million tests per month in the market by next spring.
Tom Polen: Hey, Brian. This is Tom. Good morning. So as we mentioned earlier on the call, certainly demand is expected, as I think has been said by others, to exceed supply in the foreseeable future at least. And we certainly see that ourselves. Demand, as I mentioned before, is coming from many of our traditional customers, healthcare providers themselves. We've had quite strong demand there as well as non-traditional accounts. Nursing homes for us would have been a non-traditional account. We've seen announcements come out recently from states looking to acquire rapid antigen tests and the use in other settings. I think the value of near real-time 15-minute testing has gotten increasing traction. I'd say we've really seen the awareness of that increase over the last couple of weeks even more so. And that probably also coincides with increases in COVID rates across the country. So again, very, very strong demand, as I mentioned, both on the instrument side, which we've shipped already in the first month more than we normally would ship in a year. And our supply plans are on track to our ramp plans that we've shared before. But the demand is broad across both traditional and non-traditional segments.
Brian Weinstein: Great, thanks for that. And then, as we think about a little bit longer-term here and start thinking about 2021, based on what you're seeing, can you talk about some things that we should be thinking about when evaluating how things could play out, especially considering the extended time line on Alaris, the recovery rates that you just mentioned currently being at about 80% to 85% of pre-COVID expectations in July and how COVID-19 testing could play out? Can you kind of give us some goalposts to be thinking about around those things and other things as we think about trying to factor in 2021 here?
Chris Reidy: Sure Brian. This is Chris and I'll start with that. And obviously normally on this call we get questions about the following year at this time of year and we hesitate to give any indications. This is probably even a tougher year to do that. We're giving guidance for the next two months, because we have a sense of the near-term visibility, but when you think about where things end up with hospital utilization and elective procedures of where does it top off, that's a tough one to call. Clearly we're seeing a good trend. We talked about that in our prepared remarks. June was better than May. July was better than June. So, that's a good indication. But where that tops out at, you see hospital utilization in that 80% to 85% range. Does it stay there? Does it get back to 100%? Those are the calls that you have to make. So that's a high variable and we'll be monitoring that obviously as we approach the November call. When you think about margins, clearly the decremental headwinds from COVID impact are strong 80%. And so, we're going to continue to see that with the -- into the fourth quarter. And then we'll have some lapping next year. But as that comes down, that headwind will lessen certainly over time. And then, on the more traditional stuff that we look at, FX right now looks like a push to slight tailwind. Resins, looks like it's a slight tailwind. We would expect to see some headwind in 2021 as we continue some of the COVID investments from this year and the full year impact of that. And on T&E, we are seeing some favorability from lower T&E. and we would expect that to carry over into the beginning of next year. And then we'll see with what kind of recovery, as people may be coming back from virtual work that might increase and have a little bit of pressure. Those are some of the things that you can start to think about, but it's a tough one to call this early. Thanks for the questions, Brian.
Operator: Your next question comes from the line of David Lewis with Morgan Stanley. 
David Lewis: Hi. Good morning. Thanks for taking the questions.
Tom Polen: Hi, David.
David Lewis: I guess, Chris, I wonder if you could help us sort of better understand some of the key drivers into the fourth quarter. And then we obviously have Veritor interventional recovery and some comparable issues to consider. But maybe just sort of comment on some of the headwinds and tailwinds such as stocking dynamics, things that are harder for us to model. And we have the net COVID impact in the third quarter of $600 million. What does that impact look like in the fourth quarter? And then I had a quick follow-up.
Chris Reidy: Sure. So as we said, we are seeing those headwinds abate and you can see that trend through June and July. So we would expect that $600 million to come down significantly, but it's -- there still will be a headwind and so we have that and those headwinds do go down at the 80% level. So, I think, we've given you a lot of transparency into that. And so, that should help with the models. The biggest thing that I would point to in the fourth quarter that, I think, people have to remember, is the tough compare that we have particularly in MMS. And MMS had a record quarter at $738 million; as I mentioned in the prepared remarks last year, and that's a real tough grow over. And so, with that, the decremental margins being 80% on the COVID impact, that's significant. I think the other is that there are COVID operational investments that we have. Those will continue and drag into the quarter. And the other thing to remember about the fourth quarter is, generally, if you think about the Alaris ship hold, that's certainly impacting us again. The demand on the medical necessity, we're not expecting that to be what it was in the third quarter. So those are the kinds of things that we look at in the fourth quarter to get to the guidance that we gave. 
David Lewis: Okay. And then, Tom, just a quick question on Alaris. The following is, sort of, six months push versus the prior September, which is actually kind of consistent with our expectation. But with factor testing, kind of, in the bag here, what are the biggest outstanding deliverables in the submission? And timing aside, I think, investors are most focused on what's your level of confidence you can return a safe pump to market. Thanks so much.
Tom Polen: Okay. Dave, thanks for the question. So we -- as I mentioned before, we have completed quite a bit of the testing and other work required for the submission and we have a much better visibility to submission timing than we did and when we gave you update last, in May. I think from a human factor testing, we still have the other part of it. We did the -- we've completed 100% of our formative testing, which is the initial phase. Again, 12 different human factor tests, as I described, and we're pleased with the data and outcome. Now we've got to progress to that next stage, which is a broader set of testing. So that's still in front of us. A little bit of some of the other testing that we have completed. We've completed a retrospective risk assessment on the changes that have -- every change that's been made to the Alaris system since the initial 510(k). That work is almost complete. We see that as retiring significant risk to the submission. We've completed software verification based on the original scope, closing out most outstanding anomalies. Of course, that software is not going to be released until all of our integrated testing is complete. But this is -- that's a tremendous amount of work and a testament to the team being agilely working from home. I think the other area is, V&V and reliability testing. So we're pleased with our progress there, good progress made on both fronts, but we've -- we're at -- we've begun testing on selected components in certain types of tests. And we await feedback from the FDA on the overall set of protocols. And so, at this point, that testing is -- it's not necessarily that workstream on a critical path for the overall project, but it's still more testing that's in front of us. Just to give a little bit more color of the testing that remains. So, thanks for the question. 
David Lewis: Okay. And Tom your confidence, you can return a safe pump to market here, timing aside, regardless of timing.
Tom Polen: We don't -- we remain very confident in the safety of the Alaris product. And as I said, we've been working very collaboratively with the FDA on advancing this submission. So, we feel good about that progress that we're making. 
David Lewis: Okay. Thanks so much.
Operator: Your next question comes from the line of Kristen Stewart with Barclays. 
Kristen Stewart: Hi. Thanks for taking my questions. Chris, I was just wondering, how we should think about gross margins going forward, just as we balance some of the decremental margins, as you've talked about, just with the Veritor assay coming in, as you've talked about the different capacity coming online and then think about kind of the puts and takes that you've talked about with FX and resin and everything else. I appreciate you've had a lot of moving parts here, but it seems that we should have continued pressure but obviously some moving parts particularly as we think about modeling, out next quarter and even thinking about 2021. 
Chris Reidy: Sure. So thanks for the question, Kristen. We're looking at Q4 margins in the 54% to 55% kind of range. And when you're thinking beyond that, also remember that there's continued higher shipping costs as well. And you know what, we've been able to continue to drive leverage. In the charts that we gave on the third quarter, we broke it out where you could actually see the impact from the decremental margins from COVID. So we'll still have some of that, as we described earlier. We'll have some -- so that impact will lessen as the impact of COVID lessens in the fourth quarter. And that's why we get from that 51-ish percent kind of range up to the mid-54s. And in the mix as well, is the COVID investments that we have, as well as our ability to continue to drive underlying leverage through continuous improvement. So that gets you kind of to that 54% to 55% range. One other thing that I neglected to mention earlier in the question regarding Q4 is, also you saw the lumpiness of our tax rate. Those discrete items were anticipated for the year, but a lot of them fell into the third quarter. So as you're modeling the fourth quarter, you would expect to see a high-teens Q4 tax rate. And then, also keep in mind, the preferred shares and the dividend and that's what leads you to that $2.40 to $2.60 kind of EPS range.
Kristen Stewart: Okay. And then, that 54% to 55%, does that seem like a reasonable number to think about as a jumping off point, as we think about 2021 as well? Obviously, recognizing there's a lot going on with COVID and whatnot, but a reasonable point to look forward to...
Chris Reidy: There's certainly is a lot going on. But yes, I think that's a reasonable jumping off point. So that's why we're trying to give you -- on that chart we're trying to break down the various contributors. So as the COVID impact abates you can -- that's a big driver at 80%. So as that goes away it starts coming. It starts improving. Again and again, we feel really good about the fact that we're able to on an underlying basis continue to drive improvements through, continuous improvements and synergies. And as we mentioned, Recode is a project that we will continue and think about that as a continuation of the simplification of the combinations of the companies that we've had over the number of years.
Kristen Stewart: Okay. Thanks so much.
Chris Reidy: Thank you, next question.
Operator: Your next question comes from the line of Rick Wise with Stifel.
Rick Wise: Hi.
Chris Reidy: Good morning, Rick.
Rick Wise: Good morning.
Simon Campion: Good morning.
Rick Wise: Good morning, Simon and Hi Chris. You're going to be surprised to hear me say, I'd like to talk about fiscal 2022.
Simon Campion: That's a first forward looking.
Rick Wise: I know, that's right, but I thought, you said. I do -- I'm not looking for guidance but more just reflect -- if I reflect on things, it seems reasonable to think that fiscal 2022 might be a year when that thing gets more back to normal, the economy hopefully recovering, volumes returning, maybe a vaccine all sorts of things testing in better shape. And my question really revolves around that return to growth, and how you, Tom and Chris are thinking about Becton. How would you have us think about Becton and what may be a more normal year? Does that -- if we assume that fiscal 2022, is a more normal year you return to fiscal 2019 or 2018, kind of mid-single-digit top line low double-digit bottom line. Or do we think, because of things like Project Recode, all the cost reduction the efficiency, the new products, the expanded testing, that actually maybe your normalized growth as we think a little longer term about the company is actually a little better or you're a little more optimistic. I think that maybe, it'd be interesting to hear your thoughts.
Chris Reidy: Sure. I'll take a start at that. And then, I'm sure Tom will chime in with his view. But you're absolutely right. 2021 is going to be a mixed bag. And the compare is very different. So as you think about 2022, as we think about it, we're still very much focused on the five plus on the top and the 10 plus on the bottom. And all of what you talked about in some of the growth drivers go towards, getting to that five plus on a sustainable basis. So we feel really good about the underlying business, the sustainability of that, mid-single digits kind of five plus kind of growth on the top. And things like Recode are designed to get us that kind of multiple to get you to the 10% on the bottom, on a sustainable basis. So we feel good about it getting back to that kind of level. And we feel good about the fact that where the business is on an underlying basis, performing extremely well in the face of all of the COVID impact that, we've had. And that is lessening. As we said, we see those headwinds abating. Now obviously that could change, with the change in the course of the pandemic. We're just calling that based on what we see today and so that does seem to be abating somewhat. And you've seen some of the tailwinds that have been increasing. But again, how much of that continues into 2022 will play out over time.
Tom Polen: And maybe I think, Chris that was very well said. I think Rick maybe the only thing I could add is, our -- we are running the company. Obviously we're managing it through COVID, but we are very much executing not only our short-term opportunities areas like Veritor and MAX and helping on the vaccination campaign around the world, but very much executing our long-term strategy. And so, as we think about for example our new product development pipeline and how we've been executing it, I've shared in the past, we've been really focused on continuing to improve our on-time delivery of products or on-time milestones. This year despite COVID we're going to improve. We're very much on track to improve our performance year-on-year again this year, even better than we had last year. Really proud of how the team is executing that. We just finished our strategic portfolio review. And we went through all the segments. And we're making those tough trade-offs, in terms of which programs give us the best returns and growth profiles going forward. And we're allocating and making sure those investments are continuing or adding in new opportunities that we see. And we're executing those pipelines on the Recode, as I mentioned. We've allocated resources to that this year. They're executing they're on track. And even in areas like our plant I continue to be astounded. In the middle of managing -- with our large manufacturing scale, you can imagine the complexity that COVID adds in. We watch our supplier base, a huge team that's just watching suppliers and any economic challenges they have. And how do we start preparing for backup suppliers to make sure there’s no interruption in our supply chain. A lot of that is incremental, going on in COVID. And even during that, right our operations team is very focused on continuing to deliver, the routine CI savings. And they're again doing very well on that this year, incremental to the work that they're doing on COVID. And so, hopefully the takeaway from that is that, we are managing and navigating COVID with a high level of discipline, while at the same time, maintaining very much so our execution discipline on the long-term strategy.
Chris Reidy: And the only thing I would add from a slightly different perspective too is, given the level of uncertainty what you can count on us is a, high level of transparency. And I think -- I hope you'd agree that what we just gave on the third quarter and into July is very transparent. We've been very clear as to what we expect in the fourth quarter from Veritor for example. We'll go to great pains to break that out, so that as we navigate through that, it will be very clear, what's coming from Veritor. And what's coming from the base business.
Tom Polen: And MAX.
Rick Wise: Yeah. The disclosure there's something and we all appreciate it. Just as a quick follow-up if I could. Chris, you highlighted the 3.1 times net leverage on June 30th. Last quarter you said, post-Bard leverage reduction timing was pushed out. Maybe just help us understand what's your latest thinking there? Where are you heading? And what's that all mean for capital allocation? Thanks a lot.
Chris Reidy: Sure. So nothing's really changed from a standpoint of our intent to delever the company. I think with the pandemic, as we've discussed right now, we're focused on cash. We're continuing to pay down deb. But at the same time, that net leverage, the gross leverage has been pushed off a little bit but we will continue to work that down over time. We feel good about the fact that the net leverage is where it's at. So that really hasn't changed. We'll see --we feel really well positioned in this time of uncertainty from a cash and liquidity standpoint. And as we've talked about that that gives us the firepower to invest in new products, invest in things like Veritor protection for example. And so it gives us the firepower to do that. It will continue to fuel M&A of tuck-in acquisitions et cetera. So we feel really good about the balance sheet. As we come out, as you think about 2022 for example, our overall capital allocation really hasn't changed. The good news is we do throw off a lot of cash and so we feel good about our dividend. We've had a long history of increasing the dividend. We've continued that through everything. I think you can expect that from us going forward as well. I look forward to the day when pandemics and the --this is sort of behind us and that strong cash generation leads us to a point where we can start buying back shares again. And we will come to that and get through this period. But the overall capital allocation really hasn't changed. 
Operator: Your next question comes from the line of Robbie Marcus with JPMorgan. 
Tom Polen: Good morning, Robbie.
Robbie Marcus: Good morning. We can all take your supply of the Veritor antigen test and MAX out against the ASP and we can come up with really big numbers over the next 12-plus months. How should -- how do you want to frame the revenue potential in fourth quarter and even into next year as you're sitting here? I know you haven't given guidance for next year but what's your latest base case thinking on antigen testing for COVID over the next 12 months or so?
Chris Reidy: So I'll start with --just to be very clear on the fourth quarter, we have talked about the 10 million tests and that is what is in our guidance is the 10 million tests. So we said that the demand for that is very strong. We feel good about our ability to produce that at that level. But that's what's in the guidance for the fourth quarter. And longer term I'll turn it to Tom.
Tom Polen: Yes. And we've shared as we think about the fourth quarter right we assume the 10 million tests July through September at about $20 ASP per test, which is what we had shared in the -- historically. As you think about 2021, obviously it's going to depend upon -- the number one factor will be the intensity of the COVID pandemic and its duration timing of vaccine et cetera. And so I think the most that we can focus on is that we will --the 8 million tests per month by the end of September. And then we'll be ramping up production of more than -- right at 12 million tests per month at the end of February. Those are the numbers. The percent utilization of those is to be determined as things evolve. We want -- we don't think it's appropriate for us to comment on that at this point in time. 
Robbie Marcus: Okay. Thanks. And maybe as a quick follow-up. You answered this briefly before on capital allocation but you raised some capital during the quarter. Part of that was to have potential firepower to go on the offensive for M&A should that come up. What's your latest view on where M&A would be most appropriate in the portfolio? What you view the current environment like? And do you think there are willing sellers out there right now?
Tom Polen: Thanks, Robbie. So I would just say, as we've shared in the past, we always are evaluating and have historically. Tuck-in M&A has been a long part of BD's history in how we've grown many of the businesses that exist in the company from BDB to Vacutainer to of course --much of the Bard portfolio came in through tuck-in acquisitions and licensing inorganically. We continue to look at opportunities across all three of the segments and we're very focused on deals that we would look at. We're not -- as we've made very, very clear we have zero interest in any large transformational deals. We won't be doing those. We're looking at tuck-ins, which is traditionally what BD has done going back in time and has been critical to Bard. We prioritize very much and are looking at accretive deals. We're not looking at --we have zero interest in any significant dilution at all. So those are some of the key criteria I'd say we're looking at. Specific areas as I've shared before, we're not looking at areas far aside from our existing businesses. We're looking to leverage where we have strengths and competitive advantage and really rounding out those portfolios as we've done again in each of the three segments over time. And Chris anything to add? 
Chris Reidy: Yes. No nothing to add other than to emphasize that the key metrics there are strategic fit in our core businesses and non-dilutive accretive deals. We're not looking for a lot of dilution. And returns -- ROIC greater than the cost of capital in year four .Those are the kind of standard metrics we look at. But first and foremost a strategic fit.
Tom Polen: Thanks, Robbie.
Operator: Your next question is from Vijay Kumar with Evercore ISI. 
Tom Polen: Good morning, Vijay.
Vijay Kumar: Good morning, Tom. Good morning, Chris. Thanks for taking my question. One, just maybe a cleanup question on Q4 Chris. The tailwinds that you guys saw in 3Q $200 million, obviously the pump revenues go away for Q4. Are the tailwinds also decreasing for Q4? And I think you made a comment on the preferred dividends and share count. Perhaps, could you just remind us really on, what we should be expecting for share count in preferred dividends in Q4? 
Chris Reidy: So let me take the first part of that. So just to make it clear I mean, we said that the $600 million in the last quarter we're modeling in the area of around $200 million net impact in Q4. And we do expect the tailwinds to go up with Veritor. We --Tom gave the number 10 times 20, so that's $200 million. We expect --I think we noted in the charts we expect BD MAX to be another $100 million as we -- impacts out there. And you would expect the Alaris to be --medical necessity to come down from third quarter to fourth quarter. So when you net all that out and with the abatement of the headwinds that we're seeing in elective procedures, hospital utilization going up a little bit still not back to normal but abating that's kind of where our thinking is. And the --I missed the last part of your question but I think it was Q4 share count. And you could use in your models about $293 million. 
Vijay Kumar: Okay. That's extremely helpful for us. And just on one fiscal 2021 then. Tom, we can do the math -- like Chris said on the Veritor antigen test. But more stepping outside of numbers, it just feels that from your comments stepping up on capacity for these antigen tests. It feels like you guys are a little bit perhaps more incrementally bullish on the prospects for antigen test. Is that the right way to look at it? And syringes, obviously, you saw the orders for that. Is there a dollar number, sort of, what The Street could monitor for 2021? Thank you.
Tom Polen: Yes. On antigen tests, I think, what's fair to say is that we've seen as I mentioned very strong demand right off the bat. I mean we're only -- we're literally at a month today. It's the anniversary. And we have very strong -- extremely strong demand on that product both on the Readers antigen tests themselves. I think what's very, very clear is there is a high need to know this person have COVID right now. And I don't want to wait a day I don't want to wait two days, three days, four days depending on how the system -- how effective the testing system is if you're sending samples out, you can get up to those durations. And I think there's a whole need where that just doesn't work that type of testing turnaround time and people -- high value on this getting an answer within 15 minutes. So that's -- and that ease of use there is unbeatable on the antigen testing approach. So right we're very focused on -- a we've been engaging a wide range of customers on that. As I mentioned, we've -- we're deploying not just the resources of life sciences, but of BD against that opportunity on the scale-up and making sure we have the right infrastructure to support the broader base of customers. Even logistically right shipping this volume out of product, and so again we're applying the full capabilities of the company behind this. So I think that's a fair approach to it. How that evolves again from a disease prevalence rate and consumption through 2021 no one knows the answer to that. But as long as it exists I would expect there's going to be a high need for antigen tests. 
Vijay Kumar: Just on the syringes, Tom. 
Tom Polen: Yes. On syringes as you said you heard us we gave a number on this call that was incremental to the number we gave last time right? So we have continued orders coming in not only in the U.S. but in other parts of the world. We think that's still relatively -- no change from what we had shared historically, right that we have capacity to add one billion units over the next -- we had always shared 12 months to 18 months. And we still see that opportunity side. I did call out right the devices that we are selling are a mix of safety devices and conventional devices. Safety devices have a bit higher ASP than conventional devices. So we'll see how that mix evolves over time. But overall, we're right in line. We're still on track to be able to produce that one billion units over the next 12 months to 18 months. And you can see right at over 450 million or -- well 470 million units right those orders are starting to come in quite steadily. I think that answer..
Vijay Kumar: Yeah. Okay. 
Tom Polen: Thanks, Vijay.
Operator: Your next question comes from the line of Bob Hopkins with Bank of America. 
Bob Hopkins: Great. 
Tom Polen: Good morning, Bob.
Chris Reidy: Good morning, Bob.
Bob Hopkins: Good morning. So thanks. I just have two questions and I'll include them upfront. Given the kind of focus on testing I was wondering if you could -- just to be clear what was the total COVID testing revenue in Q3. And what is total COVID testing revenue assumed in the Q4 guide? And then the other thing I'd love you to comment on is that the one kind of incoming e-mails I've gotten on this report more than anything else is just that Q4 earnings are way below where The Street was guiding and it's about an $0.80 year-over-year decline, 25% year-over-year decline. So if you wouldn't mind trying to just, sort of, break that down for us those $0.80. And you've mentioned a bunch of things on the call today. But I was wondering if you could just summarize the factors that are leading to that kind of $0.80 year-over-year decline and the kind of $0.50 below or so what The Street was modeling. 
Chris Reidy: Sure. So let me start on the first part of your question was the COVID-related testing that we saw in Q3. That was $100 million on MAX. So think about $100 million on MAX and $100 million on the Alaris medical necessity or thereabouts. So that was the $200 million of tailwinds that we were talking give or take. On Q4, we've talked I think you can think about that $100 million going up to $300 million because the MAX is if we're running at full capacity and so we expect that to be about $100 million in Q4 and then you add in the Veritor of 10 million x 20. So that's $200 million gets you to the $300 million kind of thing. So moving on to the second part of your questions. I think again the revenue decline we're still seeing low single digits kind of a decline in the fourth quarter. I think the COVID impact particularly in the MDS business in Q3 was something that folks had been missing is very much driven by hospital utilization and you saw what that was. So we would expect that to continue because although utilization is getting better it's still under pressure. And so we do expect that revenue decline of low single-digits. Then you drop that at a decremental GP. I think on the last call, we were signaling kind of in the 75% range. It's really coming in closer to the 80% range. And again that's a testament to the fact that these are very high-margin products that are being impacted by COVID. And then in addition, we're doing the right things in terms of not building inventory during this period of time. And that's a very important point because as you're not building inventory, you've got absorption of variances that come in and hit the quarter. And we're taking that charge this quarter. We're not capitalizing it in inventory and carrying it forward. So that is a big part of what gets you up to the 80%. Obviously we're making COVID investments as well. And those investments range from what you would anticipate in terms of cleaning and those kinds of, things PPE those will continue. But in addition it would include all the work we're doing to scale the Veritor and the MAX. And so those are some investments we're making. I think the other thing that the -- would be new news compared to your models is the tax rate. And as we think about Q3 earnings the $2.20, we acknowledge the fact that that's -- is probably $0.20 of tax benefit there. But in addition compared to what we were expecting and what I think The Street was expecting the drag from FX was about twice what we would have thought at $0.11. So I think when you do that we're kind of in line with The Street for the third quarter. Then as you think about the fourth quarter though our range for the tax rate for the year isn't changing. So that just assumes a very high-teens tax rate in the fourth quarter. So I think when you plug that in and then you do the calculation for the preferred shares all of that kind of gets you into the range where we're at.
Bob Hopkins: Great. Thanks for the detail.
Chris Reidy: Hopefully that helps. 
Bob Hopkins: Yes.
Operator: Your next question comes from the line of Larry Biegelsen with Wells Fargo.
Chris Reidy: Good morning, Larry.
Larry Biegelsen: Hey, guys. Thanks for taking the question. Good morning. Good morning, Chris. One on testing or just actually two on testing. I'll ask them both upfront. As people have said on this call, we can do the math on the potential sales. I guess, my question is we also know the margin is relatively high. I don't know, if you would bless kind of a 75% incremental operating margin or not, but that's kind of what people believe. So the EPS contribution could be quite high, if the demand is strong. So I guess my question is will you let this drop to the bottom line? How should we think about that versus reinvesting? And then just, Tom, I know you don't know how sustainable the testing is. But long term once we have COVID under control is Veritor for COVID similar to kind of flu, which is about $100 million per year? Or is there any reason why this could be a greater long-term opportunity? Thanks for taking the questions.
Tom Polen: So let me start with the last question then Chris can discuss the margins, which by the way we have shared. We're not sharing the specific margins of Veritor, but we have said that they're higher than the company average I think is the comment that we've shared in the past and probably what we're comfortable to continue to share, which is to your point. So on the long-term opportunity for COVID testing, I think again very difficult to predict at this point in time. I think, there's still a lot of uncertainties, even around the vaccine. Are you --is it going to be a permanent vaccine? Is it going to be a vaccine that you have to get every year more like the flu, I think those things will --if it's something like polio that gets eradicated because of a vaccine that you get a couple of shots of it upfront and then it's longer term that obviously will lead to a very different outcome than if it's something that you have to get annually. And if you forego that annual vaccination then now you're susceptible to get COVID. These things, I think are still being understood and will evolve. What I think we can say is that look we're placing a lot of Veritor instruments right now, and I shared that upfront in my commentary around demand just for the instruments in the first quarter. We certainly see point-of-care diagnostics as an area of focus of investment for the company and we have I think an example a clear indicator of that is we acquired a point-of-care molecular company earlier this year pre-COVID coming up. Because we saw the attractiveness of this space and we're continuing to invest in that area very heavily. I think the broader footprint of Veritors out in the marketplace, could you say regardless of how COVID evolves will that create a bigger opportunity for Veritor of consumption of --how long COVID will last is an unknown, but will they be using will there be more people out available to use flu strep other tests on Veritor? And will there be a societal continued shift to want to have testing results faster than they were before COVID happened. And I think those are all trends that I do think are going to be more permanent after COVID. Point of care is an area that, I would say, we are increasingly bullish on overall as a market. People understand now. Of course, people, a lot of people understand lab testing a lot more now than they did pre-COVID, because they have a lot more interest. And when you --understanding too when you have to wait days to get a result when you really need to know the answer, I think people also understand the value of that point-of-care technology. And so we do see that as a long-term trend and it's an area of continued investment. And we see some near-term opportunities that could continue to prevail for Veritor due the larger placement base. And then of course, we are continuing to invest in new technologies in that space as well.
Chris Reidy: And back to the first part of your question, I think it is fair to say, and we have said in the past that the margins here would be higher than the company margins. I think some of the numbers you're quoting seem a little rich to me particularly in the short term. This fourth quarter, I don't think you can expect us to ramp production and immediately get to those kind of margins in the fourth quarter. So I think some --the models that I've seen have just assumed we can get to those kind of margins day one. That's not practical, but clearly building over time to margins that are higher than the company average.
Larry Biegelsen: Thanks, guys.
Chris Reidy: Thanks.
Operator: Your next question comes from the line of Amit Hazan with Goldman Sachs.
Tom Polen: Hi, Amit. Good morning.
Chris Reidy: Hey, Amit.
Amit Hazan: Let me --just a couple of quick ones. I know we're running late on time here. I wanted to ask the first one on just routine testing and get a sense from you, if the recovery there is similar to what you cited elsewhere. And even if we think about getting into not just diagnostics but even PI oncology and things like mammo whether you have any insight to the pace of that recovery? It just all seems very relevant to downstream procedure revenue?
Tom Polen: Yeah. We --let me start with that. This is Tom, Amit. And actually we do have Simon on the phone as well. We have all of our segment presidents. And Simon, I'll ask you to comment on the oncology piece in a moment. I know that was one that we did see a little bit more impact in COVID than some of the other procedure areas as mammographies have been delayed. But just before we get to that, when it comes to actually more laboratory-based testing IVD testing that is one that we recognize that non-COVID diagnostic testing and specimen collection improved from about 75% in June to about 80% in July One of the indicators that, we look at very closely are the national reference lab volumes and I think it's fair to say that the information that they share in terms of overall underlying testing demand correlates very well with demand signals that we see in our Vacutainer business, which is of course a large business for us on the diagnostic testing side. Obviously, our IDS business gets a little bit more fluctuated because it is an infectious disease diagnostic testing. It's gotten both MAX and now going forward Veritor. And so we'll see more fluctuations there. But as we think about our PAS business very much we see the impact there correlated with what you would see in national reference labs. And the commentary that, they have around increased improvements from June to July match right with what we've seen as well. Simon maybe some further comments on the procedure side?
Simon Campion: Yeah. Good morning. So certainly with oncology we did see an impact over the quarter, but month-by-month, we saw sequential growth as well. So it was slightly heavier impacted than some other parts of the PI business. But we also completed a survey. We actually surveyed 815 of our interventional customers of which 119 were involved in oncology. And most of our business as in oncology is either a implant or ports or biopsy and we've recently gone into interventional oncology. And what they're saying is that -- we've got interesting information that the patients that they've been treating are -- is a good mix between rescheduled cases and new cases. And these customers are also saying that their office volumes are beginning to rebound and they have a positive outlook as to what office volumes look like over the next 60 to 90 days. So while it was impacted the funnel was certainly impacted earlier on during COVID the outlook remains reasonably positive for oncology as well as other parts of the business too. 
Amit Hazan: That's great. And Tom one for you on vaccination if I can. I'm just understanding dynamics a little bit better. Obviously, there's just a whole bunch of vaccine companies now going at risk at the same time. They're building inventory ahead of data, two doses per vaccine generally. And obviously that could suggest demand that -- for actual syringes that could be several multiples greater than population size. You've obviously made the comments today again about the one billion in incremental synergies --syringes over the next 12 to 18 months and the Bard investment taking 12 months. And you're obviously the biggest syringe player in the world. So the question is are we heading for supply challenges with regard to syringes injection devices for COVID vaccination? 
Tom Polen: Yes. I can't answer that. We don't know. At this point we are -- we've got visibility to supply the orders that we've received is a fair way to say it right? We don't as I mentioned that one billion units we've gotten 470 million units' worth of demand on that. And when I said the one billion units, right we mean that as truly incremental to just our ongoing demand remaining the same. And so that is another factor. Of course, we make way more than one billion units. We make billions of units a year of syringes on a global basis. And we're assuming all that base gets consumed normally. That includes a strong flu vaccination campaign that we would have syringes sufficient to provide that. And then this is incremental to that. And so right people will have to make choices. People could say I don't know if that's true that all those -- the base syringe consumption would remain normal that people wouldn't reallocate the syringes for other purposes in that. But there is a large base of other syringes that we're providing to the market as well. So what we can say right now is the current visibility of demand that's coming in from governments around the world is still within our supply capabilities. 
Amit Hazan: Thanks.
Tom Polen: Good question. It's something we're obviously watching closely as well. 
Operator: Your next question is from the line of Larry Keusch with Raymond James. 
Larry Keusch: Hi, good morning, everyone. Tom I wanted to just go back to Alaris and just kind of think through the time line a little bit relative to the update that you provided today. I think as I sort of recount how this came about when the issues first came up you were sort of talking about an early fourth quarter FDA filing. And then of course given the pandemic and challenges with human factor testing that pushed out again. So I'm just trying to square now that we think about the revised timing what sort of changed? Do you need to do more testing than you initially thought as you got into deeper discussions with the FDA? Is there something that you're doing incremental that you believe puts you in a better position. You obviously talked about the end tidal CO2. And does the observations of the manufacturing facility also sort of play into the time line as you think about it? 
Tom Polen: Okay. Good question, Larry. So first-off, we had always shared that the original assumption was end of Q4 right? And obviously with -- that was pre-COVID pandemic and we indicated that that would have impacts on our ability to do the testing. And it has and we recognize that. As I shared we've completed quite a bit of the testing and we had shared that versus when we had given an update in May that we felt that we would have quite a bit of that testing done by now and that we'd have much better visibility in our submission time line and that is the case. And it's the basis upon which we've given the update today. As I answered I think it was David's question earlier on this topic I'd already walked through the testing that we've done on human factor testing as well as some of the other testing that's been completed.  In terms of incremental things, we have continued to have dialogue with the FDA and understand their feedback. So that's been part of the process. And that's been a really strong part of the process our collaboration with the FDA and it's something that we think is very important to get aligned on the testing. So that when again we submit the actual 510(k) that we're in a position to make it as comprehensive as possible so that the FDA is put in a position to be able to give us as timely of an approval hopefully as is possible that we do our best job in enabling that. The one thing that is added in -- and there may be others. But certainly one thing that I mentioned is the EtCO2 module which was in development before but we did make the decision that based on feedback from the FDA and where the technology ultimately came out in development that as we are working in parallel with our product development road map we made the decision to include that update in the 510(k) module. As I mentioned it monitors patients on ventilators while medication is being administered. And given the importance of having this in generation module in, we felt it was the best decision and the FDA agreed to include that in the filing. Just on the 483 itself that you brought up what I would say there is that resolving the 483 items, the 510(k) submission is not contingent upon that specifically. And so maybe what I can just make a couple of comments on that is that we have been separately from the 510(k) submission work we've been continuing our remediation efforts associated with that Form 483 that we mentioned on our last call. In addition to providing a comprehensive response to the FDA we've already begun taking actions. That includes initiating a voluntary field action at the end of June and another earlier this week that we announced. And so we're going to continue to take action including initiating program changes process improvements and field actions when necessary in a way that provides the best-in-class support to our customers and minimizes disruptions to patient care which is more important than ever given the COVID-19 pandemic. So, as I said before we continue to stand behind the safety of the product which continues to provide significant clinical benefits to patients and health care providers. And as I said before to be clear the timing of our 510(k) filing is not dependent on resolving every item in the 483. We are taking all appropriate actions to ensure that comprehensive 510(k) submission as we also work in parallel to resolve the 483 observations.
Larry Keusch: Okay. Terrific. Thanks. That's all I had.
Tom Polen: Great. Yeah.
Operator: Your next question is from the line of Matt Taylor with UBS.
Tom Polen: Good morning, Matt.
Chris Reidy: Good morning, Matt.
Matt Taylor: Hey, good morning. Good morning guys. Thanks for taking the question. I wanted to ask one about the installation progress and time line. You called out the fact that hospitals are not allowing a lot of large capital installations and there's been some tempering of the appetite there. I'm just wondering what the funnel looks like. Are you seeing any cancellations? And when do you think that will pick up relative to the improvement in utilization?
Chris Reidy: Sure. So clearly, the -- where we saw that the most was access to facilities and installation. And that was certainly true in April and May. I think we commented that in June that we saw that getting better. And we certainly saw that to be the case in July as well. So it really has to do -- what we've seen thus far is really more access related than any lack of appetite for installations. We haven't seen any cancellations that were other than deferrals. And so we haven't seen that. Certainly that's something that is -- I talked about as our watch outs going forward. But at this stage, we haven't seen that manifest itself yet. It's really just about the installations at this point.
Matt Taylor: And then just to follow-up on that. Conversely the negative impact on demand from hospital operations, do you think that the continued stimulus being given to hospitals could help you in some of these areas? Is there encourage to spend it on COVID-related things?
Chris Reidy: Yes. Clearly, that's the case. And I think that's what's helped bridge a lot of hospitals from a cash flow standpoint. So I think those programs have certainly helped from that standpoint. So absolutely. 
Matt Taylor: Thank you very much.
Tom Polen: Thanks, Matt.
Operator: Your next question comes from the line of Josh Jennings with Cowen.
Tom Polen: Hey, Josh.
Chris Reidy: Hey, Josh.
Josh Jennings: Hi, good morning, Tom and Chris. I just wanted to ask about China. I think they're ahead of the curve in terms of the COVID recovery. You guys were down 17%. The China business in fiscal 3Q seems like medical was the biggest anchor in China. Anything you can do just division-by-division to help us understand the impact in fiscal 3Q? And then what's assumed for China guidance in fiscal fourth quarter? And then I just have one really quick follow-up. 
Chris Reidy: Yes. So one thing I would mention and I think we mentioned it in our prepared remarks is that across BDI for example we were positive in June. And so we are watching China as we said very closely. And we are seeing some recovery there. Bear in mind that we also have in China in the medical area that you mentioned in the medical segment that we do have the impact of the volume-based procurement. So we did see -- I think also in our prepared remarks, we said that we continue to see some of that distributor stocking impact -- destocking impact as we go through that. Really no news on that volume-based procurement. That continues. It's a continuous thing. But outside of that, the recovery is happening in China and improving across the businesses.
Josh Jennings: Great. Thanks. And then just on the pump business medical necessity. It was a tailwind in fiscal 3Q. I believe you mentioned when you called out April on your fiscal 2Q call that the run rate in fiscal 2Q for medical necessity was around $10 million for the quarter. Is that the normal run rate outside of the COVID tailwind on the quarter? 
Chris Reidy: Yes. I'm not sure what you're referring to there because we're -- there is no normal run rate on medical necessity. That was something new. We did mention I think in the quarter in April, I think we might have noted how much that was. And I think we said, it was in the $70 million kind of range for medical necessity. And as I mentioned, the quarter was in the $100 million kind of range. And so obviously May and June were significantly lower than April. And I think -- and we're not expecting too much in the fourth quarter in terms of medical necessity. And obviously, that's a function of resurgence and everything else, but we're not anticipating anything significant there.
Josh Jennings: Great. Thanks.
Operator: Our next question is from the line of Richard Newitter with SVB Leerink.
Richard Newitter : Thanks for squeezing me in guys. Just one question. I'm curious can you give any color on where this initial demand that you said is very high for point of care, where what sectors of the economy? Or what types of uses are you seeing the highest levels of that elevated demand for this type of test? Just trying to get a feel for kind of where this is probably going to have the biggest use. And if you have any initial comments there? Thanks very much.
Tom Polen: Richard this is Tom. Good question. As I had shared before, it is a broad sector of both traditional customers and customers who are new to us where this demand is coming from. And we also of course a lot of this given the -- of course our traditional customers we often are engaging with them directly. So think about hospitals and clinics and those types of locations. We are dealing with them directly and we see strong demand from those areas. We of course are also providing this product through most all the major distributors and they are mostly directly managing a broader nontraditional customer base who are approaching them or calling us and then we refer them through distributors. The ship-tos are much broader than we would ever be set up to manage directly and we typically sell Veritor through distributors anyway. But there it's -- as you saw I mean HHS announced acquiring for nursing homes. Normally that's a whole new customer segment. It's normally not doing Veritor point-of-care testing as an example. There are schools that in states that are buying them to test symptomatic kids when they're in the -- as they're thinking about starting up school. What if a kid says I've got X Y Z symptoms that mimic COVID what do you do? Do you send them home and wait a couple of days to get a test result? Or is it really important for you to know if that kid has COVID before they leave the building, so that you can determine what do you do with all the other kids and the teachers that were in that classroom with that child. These are the questions that the people are working through. We've had employers order the product for similar types of purposes in use of understanding, again if employees come up with symptoms et cetera while at work. How you triage and make decisions for the rest of the workforce that's there and helping keep the environment safe? So those are just a few of the examples that we see the testing. But hopefully, just gives a color that it is much more diverse base than would traditionally be doing flu or strep or our normal point-of-care test.
Richard Newitter: Thank you.
Operator: Your next question is from the line of Jason Bednar with Piper Sandler.
Unidentified Analyst: Hi. Good morning guys. This is Andrew [ph] on for Jason. Thank you for taking the questions. I just have two real quick ones here and I'll ask them both upfront. Any updated thoughts on the BTK Lutonix product? How are you preparing for a rollout strategy at this point? And then the second one is I know it's super early, but any updated or any thoughts you can offer on the upcoming flu season, any challenges, headwinds, tailwinds anything that we need to contemplate in our model? Thank you.
Tom Polen: Yes, Andrew, good question. On BTK, so we have nothing in our outlook in Q4 for BTK. I think we shared that in the past, but just to reiterate that. Of course, we have -- last we had shared is that we had submitted additional information as part of that PMA review and it continues to be under active review by the FDA. But we'll provide an update as we hear information from the FDA on that, but nothing to share at this point in time. In terms of the flu season, as I mentioned, we're making sure that first off that we have product to help support the flu vaccination campaigns this year. Obviously, we’re also expect to continue to provide flu testing on the Veritor platform. And as I mentioned, we are -- we do have combination COVID-flu tests in development on both our MAX and our Veritor platform. And so those are -- we have teams actively working on both of those to support where we could have flu and COVID needing differential diagnosis as that season intensifies going forward. The other thing that we watch is -- and no one knows the answer to this. We have seen some evidence that the incidences of using PPE and social distancing and quarantine have reduced the rate of -- or the intensity of the flu season in other geographies around the world, which are still in their winter seasons. How that's going to actually happen in the Northern Hemisphere is still to be determined. I don't think anyone knows the answer to that and it has big variables on how society is effectively quarantining and masking as well. So -- but all factors that we're watching closely and that we're preparing for. 
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. I would now like to turn the floor back over to Tom Polen for closing remarks.
Tom Polen: Okay. Well, thank you operator, and thanks everyone for the good discussion on today's call. While our results this quarter show the impact of COVID-19 on the entire health care industry, they also demonstrate our focus on execution and making an impact during a consequential time. I'm very proud of the way our team has rallied around our purpose of advancing the world of health to find impactful solutions to help the world respond to COVID-19 and I'm proud of the BD team for their continued focus on executing our long-term strategy, so we can emerge from this pandemic period strong and well positioned to drive growth. Thank you all for your time today.
Chris Reidy: Thanks everyone.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines at this time and have a wonderful day. Speakers, please hold the line.